Operator: Good day, and welcome to the QuinStreet's Fiscal Fourth Quarter and Full Year 2025 Financial Results. Today's conference is being recorded. [Operator Instructions] At this time, I would like to turn the conference over to the Vice President of Investor Relations and Finance, Robert Amparo. Mr. Amparo, you may begin.
Robert Anthony Amparo: Thank you, operator, and thank you, everyone, for joining us as we report QuinStreet's Fiscal Fourth Quarter and Full Year 2025 Financial Results. Joining me on the call today are Chief Executive Officer, Doug Valenti; and Chief Financial Officer, Greg Wong. Before we begin, I would like to remind you that the following discussion will contain forward-looking statements. Forward-looking statements involve a number of risks and uncertainties that may cause actual results to differ materially from those projected by such statements and are not guarantees of future performance. Factors that may cause results to differ from our forward-looking statements are discussed in our recent SEC filings, including our most recent 8-K filing made today and our most recent 10-Q filing. Forward- looking statements are based on assumptions as of today, and the company undertakes no obligation to update these statements. Today, we will be discussing both GAAP and non-GAAP measures. A reconciliation of GAAP to non-GAAP financial measures is included in today's earnings press release which is available on our Investor Relations website at investor.quinstreet.com. With that, I will turn the call over to Doug Valenti. Please go ahead, sir.
Douglas Valenti: Thank you, Rob. Welcome, everyone. Fiscal Q4 was another quarter of strong revenue growth and continued margin expansion. We grew total revenue 32% year-over-year and adjusted EBITDA 101%. Auto Insurance revenue grew 62% year-over-year in the quarter. Home Services revenue grew 21%. Q4 caps a successful full fiscal year 2025, in which we grew revenue 78% to $1.1 billion and adjusted EBITDA 299% to $81 million, delivering strong operating leverage and margin expansion at scale. Margins expanded even as we accelerated ongoing investments and initiatives to drive further revenue growth and margin expansion in coming quarters and years. Our pipeline of growth and margin expansion initiatives is, in my view, the best, most innovative and most impactful in the history of the company. Our balance sheet also continued to get even stronger in Q4, again, despite heavy ongoing investments in growth and margin expansion initiatives. We ended the quarter with over $100 million in cash, and we have no bank debt. We have the competitive advantages and financial strength to continue to successfully invest in and pursue our enormous and growing long-term market opportunity. Renewed demand from auto insurance clients was a key component of fiscal 2025 success, even as carrier spending growth moderated in the second half of the fiscal year due in large part to tariff uncertainties. Some clients have recently begun to reaccelerate spending, and we expect strong sequential auto insurance revenue growth in the current quarter, our fiscal Q1. Even with the recent increases, auto insurance client spending continues to be generally guarded versus its potential given carrier financial strength and results and is likely to remain so until the tariff fog fully clears. So we believe that there continues to be significant pent- up demand in auto insurance and that there will likely be another significant leg up in client spending as the full level and impact of tariffs become more clear and as the industry continues to adapt. We do not expect a significant gap down in carrier spending from current levels, given: one, current carrier financial strength and results; two, the fact that carriers have had time to anticipate and prepare for the impact of tariffs; and three, the levels of most applicable tariff agreements announced thus far have been relatively moderate. And as I mentioned earlier, a number of our auto insurance clients have just recently begun to reaccelerate spending. Given that outlook, we QuinStreet are going to continue to invest aggressively in media capacity and products to be positioned to prosper from the pent-up and growing demand we expect in auto insurance in coming quarters and years, just as we have done so successfully in past cycles. Turning to our outlook. We expect revenue in fiscal Q1 to be about $280 million and adjusted EBITDA to be about $20 million. Our initial view of full fiscal year 2026 is that revenue will grow about 10% and adjusted EBITDA will grow about 20% as we work to further expand margins. With that, I'll turn the call over to Greg.
Gregory Wong: Thank you, Doug. Hello, and thanks to everyone for joining us today. Q4 was a strong finish to a record year for QuinStreet as we delivered yet another quarter of strong double-digit revenue growth and expanded adjusted EBITDA margins. For the June quarter, total revenue grew 32% year-over-year and was $262.1 million. Adjusted net income was $14.7 million, or $0.25 per share. Adjusted EBITDA grew 101% and was $22.1 million. Looking at revenue by client vertical. Our Financial Services client vertical represented 71% of Q4 revenue and grew 36% year-over- year to $186.6 million. Our Home Services client vertical represented 27% of Q4 revenue and grew 21% year-over-year to $71.7 million, another record revenue quarter for that business. Other revenue was the remaining $3.8 million of Q4 revenue. Turning to our full fiscal year performance. 2025 was a record year as revenue grew 78% year-over-year and surpassed $1 billion for the first time. Our Financial Services client vertical represented 75% of full fiscal year revenue and grew 108% year-over-year to $817.2 million. Our Home Services client vertical represented 24% of full fiscal year revenue and grew 24% year-over-year to $261.8 million. Other revenue represented the remaining $14.8 million of full fiscal year revenue. Adjusted EBITDA for full fiscal year 2025 grew about 300% and was $81.3 million. Turning to the balance sheet. We closed the year with $101 million of cash and equivalents and no bank debt. Turning to our outlook. As Doug mentioned, we expect revenue in fiscal Q1 to be about $280 million and adjusted EBITDA to be about $20 million. And we expect full fiscal year 2026 revenue will grow about 10% and adjusted EBITDA will grow faster at about 20%. This is our initial view on fiscal 2026, and we will, of course, provide updates to our expectations as the year progresses. In closing, fiscal 2025 was a record year for QuinStreet. We grew revenue almost 80% and surpassed $1 billion for the first time. We also quadrupled our adjusted EBITDA year-over-year and doubled our cash position. We believe that our market opportunities are still in their early innings and have never been bigger. And we will continue to invest against those opportunities in fiscal 2026 and beyond. With that, I'll turn it over to the operator for Q&A.
Operator: [Operator Instructions] Your first question comes from the line of Jason Kreyer from Craig-Hallum Capital Group.
Cal Bartyzal: This is Cal on for Jason. So maybe to start, can you just kind of walk through what you saw as far as carrier spend trends across Q4 and what you're hearing from carriers amid some of this reacceleration into Q1?
Douglas Valenti: Sure. We initially saw in Q4 pretty consistent spending levels with what we had seen in our Q3, which was, of course, moderated from the heavy period. The July to December last year was the heaviest period and then moderated January through June, just to put it in calendar metrics for folks, since we're in such a weird fiscal. Those spending levels were steady, stable, and then we began to see those spending levels begin to increase as we got deeper into the quarter, and we got indications that carriers expected to continue to increase those spend levels into the current quarter and have had recent indications from carriers that they also expect to increase spend further in the December quarter. So general gradual increases in spend as carriers do -- as I indicated, they have exceptionally strong economics right now, very attractive combined ratios, and we are getting a lot more clarity, though not full clarity, on the level of tariffs, and they've had plenty of time to anticipate and prepare for those. But a lot of activity, a lot of demand, not all of that demand yet in the market as they continue to hold back to be sure that they're ready to absorb some continued uncertainties with tariffs. But I would say, if I had to characterize it, I'd say, a growing momentum and growing confidence and growing commitments, as we indicated, the current quarter sequentially will grow pretty significantly in auto insurance over the last quarter with the demand that we've now gotten -- demand increases we've now gotten from carriers.
Gregory Wong: Great. And then just a follow-up. Can you just touch on some of the assumptions in the initial 2026 guidance? And just following up on some of your comments there, just curious for your thoughts on the potential for a budget flush dynamic that we kind of saw at the back half of last calendar year, maybe happening again this year with carriers running so strong on profitability.
Douglas Valenti: Yes. 2026, it's early. We're giving you our early view. We are trying to be, I would say, relatively conservative versus what we might believe our full plans could represent and versus what we anticipate could happen in auto insurance. So the early book certainly doesn't -- would skew to the conservative end of what we think could happen this coming year, both in terms of the macro and like the auto insurance market as well as the progress we can make across the business. So that's how I would generally characterize it. I think that your question about calendar Q4 is a great one. Listen, the carriers are entering the second half of the calendar year, again, with very strong economics. One of our sophisticated investors has done some pretty detailed analysis, and I think he indicated that the large carriers that report publicly could have the worst month for every month in the remainder of the calendar year that they've ever had in the past 10 years and still make their annual combined ratio target. That's a lot of surplus. And, of course, what's not included is what the impact of tariffs might be that might add into that. But the further we go into the next few months going towards the end of the year and the longer those strong ratios continue, you could -- as I indicated, we've already had some carriers tell us that they do expect already to increase spend pretty meaningfully in calendar Q4, and we certainly could see more of that. Again, it's going to be somewhat dependent on tariffs and how they flow through the system and, of course, weather events, although those are typically pretty well reserved for at this point in the year.
Operator: Your next question comes from the line of Zach Cummins from B. Riley Securities.
Zachary Cummins: Doug, I wanted to ask you just about general trends with some of your carrier base. A lot of the recovery has been driven by, call it, the top 2 or 3 carriers over the past 12 to 18 months. So just curious of maybe the spending levels or potential intent to spend across your entire carrier base versus maybe some of the trends that we saw over the past 12 months.
Douglas Valenti: Yes. No, it's a super good question. We have actually seen very strong activity broadly across our carrier base. I think -- and this is good data actually. We had more carriers spending over $1 million per month with us this past quarter than we have ever had in the history of the company. And I think it was like 8 or 9 carriers spending at those levels. So we are seeing -- so it's broad-based. I think also if you look at the numbers that Progressive actually represented a lower percentage of our overall revenue last quarter than it has over the past couple of quarters. So again, I only say that because we have to report that publicly and because it's another indication of pretty broad-based participation and growth. Underlying that, I would say something you can't see, but we're experiencing is very, very strong engagement with our carrier partners and clients in terms of interest in the channel, interest in performance marketing, and interest in our marketplaces and performance marketing in particular, and a lot of work going on across a very wide range of carriers to get better and better at digital performance marketing so that they can participate at much greater, stronger rates than they currently do. There are very few carriers today who spend nearly as much as they should on digital performance marketing. If you look at the efficiency of the channel and if you look at where the customers are, where the prospects are, where the potential customers are and where they're shopping, they're shopping in digital. And when they shop in digital, the vast majority of them that are in market end up in a performance marketplace, of course, ours being one of the largest. So very broad participation, very broad interest, very broad spending, very broad activity. We're seeing strength across the board.
Gregory Wong: Zach, this is Greg. Just to add a little bit more color to that is, as Doug mentioned in his prepared remarks, our auto insurance business grew 62% year-over-year in the quarter. If you exclude our largest carrier in that mix, the auto insurance business still grew 60%, 6-0 percent, year-over-year. So it just shows you the broad-based carrier demand that we have.
Zachary Cummins: Got it. That's helpful. And Greg, just my one follow-up question for you, really, around the margin side. I think just based on your directional commentary for initial 2026 outlook, you're somewhere around [Technical Difficulty] EBITDA margin for the full year. So can you just talk about progression with some of your margin expansion initiatives in Q4 and how you expect those to potentially translate over the next several quarters?
Gregory Wong: Doug, do you want to take that one?
Douglas Valenti: Yes, happy to. Yes. We have seen very strong progression of our margin expansion initiatives and expect that, that momentum is going to continue. Let me give you a sense for what we're talking about. We have -- first of all, there's the optimization of existing media, particularly in auto insurance, where we're making great strides in more carrier participation, better matching, better yielding for those carriers in the marketplace so that we can get better margins there. We're also growing new media capacity to serve the demand to continue to offset what we're seeing as a big mismatch between the surge in demand versus the ability to grow media. So we're investing very aggressively in some new proprietary scale media opportunities that are also growing very rapidly and have good performance now, but the margins on those programs are only going to expand and are going to expand very strongly in coming months and quarters as we continue to scale them and optimize them. Also, in auto insurance, we're growing whole new footprints in and around auto insurance in product market opportunities that are already coming at significantly higher margins than the legacy business, which, of course, is our core business. But these new businesses are reaching good scale. One of those new businesses just got to about $8 million per month and has a margin profile that is 3x that of the core legacy click marketplace business. And by the way, that growth -- it's over 100% growth, I think, last year, year-over-year. So we expect that to keep growing. And by the way, QRP grew at over 100% last year, and we expect it to grow about 100% again this year. So it's getting to good scale. So a lot going on in insurance that we expect to keep going on. Also, a lot going on in the other businesses. We are optimizing for margin, our personal loans business in a way that is delivering dramatically faster growth in margin there than revenue growth as we optimize those marketplaces and prepare them for a next stage of growth in revenue at better margins. We also, by the way, to make sure that as we continue to implement and execute these margin expansion initiatives, get the most out of them, we will have our operating expenses, our nonvariable operating expenses this fiscal year will be flat over last year. We got to that by doing a number of internal restructurings that streamlined the organization and by continuing to adopt new technologies that are allowing us to be more and more productive. So there's just a steady stream across the business of very big, very meaningful margin improvement initiatives that we've gotten -- already gotten some good traction on, but have a lot further to go than we have gone. So I would say that's what gives us the confidence to talk about next year is expecting, once again, to grow EBITDA faster than revenue to take the base level of EBITDA that we had for last year as a starting point in, say, fiscal Q1 and only grow from there in terms of our margins.
Operator: Your next question comes from the line of Patrick Sholl from Barrington Research.
Patrick William Sholl: I was wondering if you could maybe talk a little bit more about some of the other business items like the Home Services side and how that tariffs have been impacting that side of the business going into fiscal 2026.
Douglas Valenti: I'll do that, Patrick. There have been grumblings amongst home services industry folks that the tariffs could have some impact, but we are not seeing any indications from any of our clients that that's going to impact their spend levels or their aggression in the market. And we don't see them having an effect at all on our outlook for Home Services to once again grow 15% to 20% is kind of where we always peg our objective to grow Home Services year-over-year. And we certainly think we can do that again this year in Home Services. A lot of momentum in Home Services, a lot of great operational excellence in that organization. We also have expanded our product footprint pretty significantly there and are having a lot of good results with that. And we're launching the next version of our central QuinStreet media platform, what we call QMP, the media optimization platform that's being launched in Home Services over the next few weeks, and we expect that to actually allow us to grow Home Services even faster and with a lot less friction because it's a pretty complicated business to grow. It's got a lot of pieces to it. And that's one of the reasons I always talk about the operational excellence in that business. That's a business with an organization that has to be excellent to do the things they do in terms of growth and margin. And we're not hearing -- again, we're not hearing much, and we're certainly not hearing or expecting that it's going to impact our outlook for that business in the next fiscal year. And as far as other businesses, we're not really hearing anything. The place that we're hearing the most in the industry has been most vocal and is obviously going to -- has the potential to be most impacted is on auto insurance. Now that being said, to refer to yet another study, which was done by one of the other companies in our -- not one of our competitors, but one of the other digital insurance companies. They released a study that suggested that a 15% tariff, if that's where we settle everywhere, and, of course, we have settled there in Japan, EU, and South Korea, which are super important countries for autos, would represent the need to increase auto rates on average about 6%. Now averages are very, very dangerous, of course, because it's a super-complicated industry. But that's nowhere near what we went through a couple of years ago, right, in terms of double-digit rate increases for, I think, 2, 3 years running. So that's why I indicated before that the agreements we've seen to date are relatively moderate in terms of the tariff level. So I think that may be why we're beginning to see a reacceleration amongst the auto insurance clients. Hopefully, they're reading that through and running that through their models and coming to the views that they're likely in pretty good shape given the strength of their current financial models
Patrick William Sholl: Okay. And then circling back to one of your earlier answers. I think you talked about opening up additional media sources. I'm just curious if you could provide an update on maybe like the mix of media sources and just the contribution from some of the acquisitions that you've done over the past couple of years to expand the amount of media that you're able to source traffic through.
Douglas Valenti: Yes. We don't really talk about the mix because that's pretty proprietary and pretty competitively sensitive. We get chased everywhere we go. So we'd rather not give them a head start. But I can tell you that the acquisition we made of Aqua Vida Media, which was a company that allows us to get much more aggressive in media outside of Google, if you will, has been very successful for us. And if you need any indication, just look at how we have to keep marking up the earnout. So we love that. It's a huge new world of media. We've historically been pretty concentrated, quite frankly, in the search and therefore, Google ecosystem, and we love that. We're going to keep driving as much as we can there. And by the way, we have a lot more to go there because we're not as big as we should be. But Aqua Vida and the kind of the other media opportunity is massive and Aqua Vida has given us the ability to be very successful there, and we're getting to pretty good scale, but nowhere near where we will eventually get in those other channels.
Operator: Your next question comes from the line of Chris Sakai from Singular Research.
Unidentified Analyst: Your guidance implies adjusted EBITDA margins of about 7% in Q1 versus 8.4% in Q4. What's driving this sequential margin compression? And is this seasonal or investment related?
Douglas Valenti: Yes. It's a combination of media capacity still being trying to catch up with now continuing to increase auto insurance demand, Chris, and the need to keep optimizing that media against that demand. But as long as that gap exists and media prices and/or competition for that media is going to continue to push down margins. So it's that, which we're working as fast as we can to address through optimization and other approaches, and the fact that we are going to aggressively invest in building new capacity to close that gap. And those investments are real. It takes a lot of money to building at-scale new campaign, whether it be in the Google ecosystem or outside the Google ecosystem. But we think it's essential that we do that both to have the capacity to meet the current demand but have the capacity to meet the current demand plus what we see is a coming new surge of demand and, of course, to optimize margins around that. And we think 7% is a pretty good baseline that we've reestablished now. It was the average last fiscal year, and that was a big expansion over the fiscal year before that. And as we indicated in our outlook for the year, we do expect that to be a baseline and that we will be expanding margins pretty significantly beyond that as all these efforts and initiatives continue to come to fruition throughout the fiscal year.
Unidentified Analyst: Okay. Can you break down the growth within financial services beyond auto insurance? How are other verticals like personal loans, credit cards or other insurance products performing?
Douglas Valenti: They all grew year-over-year in the quarter. We still think we're quite early in all of those markets and facing a lot of opportunity to continue to scale them. I would say of the 3, the one that had the revenue -- least growth in revenue was personal loans, but that's because, as I indicated, we're really going through a margin optimization program there, and we're growing margin a lot faster than revenue and getting rid of a lot of bad revenue. And we're doing that because we want to get -- we're establishing a new base of profitability in that business as we look to scale to the next level of scaling. But overall, the 3 of them -- those 3 businesses, credit cards, banking, and personal loans, together grew year-over-year. And we expect that they're going to grow very nicely again this year. But like the other businesses, we expect that in all of them, we want to grow and we expect to grow margin even faster than revenue.
Operator: Your next question comes from the line of Elle Niebuhr from Lake Street Capital Markets.
Unidentified Analyst: So first one, assuming a lower interest rate environment in 2026 or calendar year 2026, how should we think about incremental growth in the Home Services segment?
Douglas Valenti: That's a great question, Elle. I would say that we don't really model it that way. So I would guess that it would probably be supportive of more growth in Home Services because you'd likely have more home buying activity. And typically, when somebody buys a home, one of the first things they do is start doing a little work on it. That's been something that has been missing, hasn't been as big a part of that market in the current kind of stalled home selling environment as it used to be. So it would certainly likely be a positive. I can't think of any ways in which it would be a negative. But we have not modeled that into our outlook.
Unidentified Analyst: Awesome. And then second one for me. In regards to product development, where are you pointing investments in your development efforts?
Douglas Valenti: Sure. Several places. One is, of course, QRP continues to be a big focus of our product development efforts. And as I have indicated in the past, that's an incredibly important strategic business for us and for the future of digitization of the insurance, and particularly the insurance agency channel. And we're seeing renewed activity as the market has come back and very good growth, and we have very good outlook for that business. So we're going to continue to invest there. We're also investing in our finance product in Home Services, 360 Finance, a very big market opportunity to provide a point-of-sale kitchen table, we call it, financing app to contractors. We have a big contractor network in Home Services, and this is an add-on product of very high value to those contractors. It matches up well to our ability to run a marketplace and in another marketplace, in this case, a lending marketplace. We're putting a lot of our money there. And again, that business was up very significant this past year. We expect it to be up almost 3x, at least, this year and could be up as much as 5x to 10x this year. So that business, we are continuing to spend aggressively to scale. Both those businesses, I would point out, are very contiguous to our core business, but also do not have media costs, so are also very enhancing to our margins. But we're also spending money on continued improvements in our core technologies. I indicated before, we are launching our next version of QMP, our core media optimization platform, that runs our marketplaces in media. We're launching that in Home Services. That's a big effort. It's a big development project. We expect it to have a big impact across the business, but in particular initially in Home Services, where scaling is going to help us to scale with a lot less friction, a lot less effort than we've had in the past. And then we have a new call platform, which is also a contact platform for consumers, which we're rolling out this year. And that's a big part of our spend and a very important part of our overall economic model and one that reengagement and remarketing to consumers that don't fully complete the process online is a very accretive to margin thing that we do. And we've really been limping along on 3 different platforms that were legacies of 3 different acquisitions and 3 different businesses. So it really hasn't been optimal, and we've freed up the capacity and the spend over the past year or so to completely rebuild and relaunch those capabilities on a unified platform that I expect is going to have big impact on that part of the business as well. So Greg, did I miss any big ones? There are a lot of. I only listed probably 4 of the 10 to 12 significant projects, but I think those are the 4 biggest, Greg. Is that right?
Gregory Wong: You hit the big ones, yes.
Operator: Thank you, Elle. And there are no further questions at this time. Thank you, everyone, for taking the time to join QuinStreet's earnings call. Replay information is available on the earnings press release issued this afternoon. This concludes today's call. Thank you.